Operator: Good morning and good evening, ladies and gentlemen. Welcome to the Q3 2013 Orient Paper, Inc. Earnings Conference Call. At this time I would like to inform you that this conference is being recorded. (Operator instructions.) With me today are Mr. Zhenyong Liu, Orient Paper’s Chairman and Chief Executive Officer, and Mr. Winston Yen, the company’s Chief Financial Officer. Orient Paper has announced its Q3 2013 financial results through a press release earlier that is available on the company’s website at www.orientpaperinc.com. Mr. Liu will brief you on the company’s key highlights, operational and product developments over Q3 2013; and Mr. Yen will walk you through the company’s financial and business review as well as the company’s outlook and guidance. After that there will be a question-and-answer session. I would like to draw your attention to our Safe Harbor statements. This announcement contains forward-looking statements within the meaning of the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact in this announcement are forward-looking statements, including but not limited to anticipated revenues from the digital photo paper business segment; the actions and [intentions] of current and potential competitors; the company’s ability to introduce new products; the company’s ability to implement the plant capacity expansion of corrugating media paper; market acceptance of new products; generic economy and business conditions; the ability to attract or retain qualified senior management, personnel and research and development staff; and other risks detailed in the company’s filings with the Securities and Exchange Commission. These forward-looking statements involve known and unknown risks and uncertainties and are based on current expectations, assumptions, estimations and projections about the company and the industry. The company undertakes no obligation to update forward-looking statements to reflect subsequent or current events or circumstances or to changes its expectations except as may be required by law. Although the company believes that the expectations expressed in these forward-looking statements are reasonable it cannot assure you that its expectations will turn out to be correct and investors are cautioned that actual results may differ materially from the anticipated results. There is a presentation document featuring management’s prepared remarks that is now available for download from the company’s website at www.orientpaperinc.com. Please note that there will a discussion of the non-GAAP financial measure EBITDA or earnings before insurance, taxes, depreciation and amortization. Please refer to our press release for a complete reconciliation of EBITDA to net income. As a final reminder all numbers in our presentation are quoted in US Dollars and all comparisons refer to year-over-year comparisons unless otherwise stated. I would like to now turn the call over to Mr. Liu. Please proceed.
Zhenyong Liu: Good morning to our investors calling in today for our Q3 2013 Earnings Presentation. The Chinese economy in Q3 2013 remained challenging. The slowdown of China’s domestic economic growth and an oversupply of capacity within the paper industry have caused downward pressure of paper prices since the end of 2011. On a positive note for us the government has further tightened its grip on closing outdated production capacity. The MIIT has announced a second batch of paper mill closures and target closures for 2013 in September. In this challenging environment we are pleased to report an increase of our net income by 26% and an improvement in our profitability in Q3, driven by our continued ramp up of production and the correction of higher recycled paper price from the previous quarters. We have also made significant progress in our expansion plans and have entered into the final stage of the infrastructure construction in our Wei County site. During Q4 we will also begin the installation of our first tissue paper production line for PM8. We have also initiated planning of the second tissue paper production line, or PM9. These are strategic investments to drive our mix and long-term business growth. Apart from that we would also like to provide an update on our PM1 modernization. After evaluating different options the senior management team decided to rebuild PM1 in order to produce insulation paper, which is a building and construction material. In comparison to CMP this product uses the same raw material of recycled paperboard but sells at a higher ASP and gross profit margin. I will leave our CFO Winston Yen to explain further details of our plans for PM1 later. I’m also pleased to announce that our Board of Directors has decided to resume payment of quarterly dividends due to consideration of the company’s expansion plans and financial obligations. As I mentioned earlier, the expansion plans are critical to our long-term success but we also believe in rewarding shareholders for their long-term support of Orient Paper, particularly during challenging times like these. In view of the progress we have made so far in the PM6 ramp up we have revised upwards in our full-year 2013 revenue guidance. This concludes my opening remarks, and I would now like to invite our CFO, Mr. Winston Yen, to take you through the financial and business reviews as well as our business outlook before my interpreter returns to give you my closing remarks. So, Winston?
Winston Yen: Alright. Thank you, Mr. Liu. Please be reminded that all numbers are in US Dollars and all comparisons refer to year-over-year comparisons unless otherwise stated. The numbering system for our production lines is provided in the press release and Slide 24 of this presentation. First, let’s look at the overall financial performance over Q3 2013, and please turn to Slide 7. Total revenue was $38.0 million, a marginal increase from $37.7 million last year. We achieved this with the successful ramp up of PM6, offsetting the loss of revenue due to our planned suspension of PM1. Gross profit was $8.4 million, up 23.7%; while gross margin was 22.4%, up from 18.1%. Income from operations was $7.6 million, up 22.8%. Operating margin was 20.1%, up from 16.4% a year ago. Net income was $5.5 million, up 26.4%. Net margin was 14.7%, up from 11.6%. This translates to basic and diluted earnings per share of $0.03. Moving on to Slide 8 on our cash position, as of September, 2013, our cash and cash equivalents were $13.8 million compared to $13.1 million at the end of 2012. Cash flow from operating activities was down 7.2% to $18.0 million, while investing cash outflows was up 291% to $44.0 million due to the $22.7 million outlaid on the progress payments for the construction and plant equipment in the Wei County project. Now taking a look at our production segments, stating from CMP on Slide 9, in Q3 we generated $24.0 million for this business segment making up 65% of total revenue. Sales volumes were 66,500 tons and ASP was $367 per ton, up 1%. During this quarter the new production line, PM6, contributed for all of the CMP sold. As mentioned earlier PM1 has been suspended for modernization since the end of 2012. Turning to Slide 10 on our offset printing paper segment, in Q3 revenue was $12.0 million, representing 31% of total revenue. Sales volumes were 17,300 tons and ASPs declined by 4% to $679 per ton. Slide 11 provides a chart of our revenue mix which shows CMP increasing its contribution quarter-by-quarter, representing now 65% of the Q3 revenues. We will now move on to discuss our operational and business updates. Please turn to Slide 13 for an update of our PM6 ramp up. After the three-week suspension resulting from the county-wide government environmental inspection in Q1 we have worked on ramping up PM6. The average utilization rate in Q3 2013 was 74.0% compared to 61.1% in the previous quarter. The company will continue to focus on increasing the ramp up of PM6 to achieve our goal of an annualized utilization rate of 75% for Q4 2013. Next, let’s look at Slide 14 for our household and tissue business expansion project. We started building the factory and the other infrastructures for the household and tissue paper production facilities located in the Wei County Economic Development Zone in Hebei Province in February this year, after the Lunar New Year and Spring Break of 2013. Now we are in the final stages of the construction of our office buildings, factories, as well as the warehouses. Considering the strategic advantages of this location we envision the Wei County site as the foundation of future production lines of various paper products and to become a source of substantial growth for Orient Paper in the next few years. Starting in Q4 2013 we will begin installation of PM8 and target to roll out production in the second half of 2014. As Mr. Liu mentioned earlier, planning for PM9 is also underway. This will be our second tissue paper production line, also with an annual production capacity of 15,000 tons per year. We expect installation to begin in mid-2014 and target for this line to commence for the second half of 2015. We have also included the latest progress photographs from our Wei County site in Slide 15 for your reference. We now turn to Slide 16 to provide you further information on our PM1 modernization. After conducting months of feasibility studies and weighing different options the company has decided to rebuild PM1 to produce insulation paper. We have identified local market opportunities after a number of other small producers of insulation paper were shut earlier this year. Insulation paper is an essential building and construction material used for the insulation of walls and ceilings which use recycled paperboard as a primary raw material. Under the current plan, the new PM1 is expected to have an annual production capacity of 50,000 tons. The total building cost will be around $15 million and it will be financed by the company’s internal cash flow. During Q3 2013 we have ordered the first batch of components for the rebuild. We expect this new line to come online in Q3 2014. It will be operated by our CMP team as the production processes are fairly similar. So we now turn to Slide 17 for other updates: first, the resumption of quarterly dividend payments. As announced, the Board of Directors has approved the payment of the quarterly dividend of $0.005 per share with a record date on November 29, 2013. The dividend is expected to be paid on December 16, 2013. For the sale of the headquarters compound, we are happy to report that the sale of the land use rights and industrial buildings was completed on September 30, which generated a net gain of disposal of about $0.08 million and net proceeds of $7.8 million cash. For investor communications initiatives, in terms of investor communications we continue to work alongside our IR advisor to increase our communications with investors and shareholders to build the company’s capital market profile. We’re also planning active investor outreach right after our Q3 and Q4 earnings. Regarding our outlook and guidance, please turn to Slide 19. While the current economy is not expected to improve significantly anytime soon we expect demand for packaging papers to recover slightly from last year’s levels as we have seen in the first half of this year. Like most industry analysts we’re cautiously optimistic that the pressure on margins is now easing even though demand will probably remain soft. In the meantime raw materials prices have seen a correction but are expected to be volatile in the near term due to the implementation of the government’s new Green Fence policy which has erased the import standards for all recycled materials. In terms of the regulatory environment, the government is expected to continue pushing for industry efficiency in environmental protection. In September, 2013, MIIT announced that the [second batch] of paper mill closures would include a total of 67 low-end small paper mills by the end of 2013 at an aggregate 1.2 million tons. MIIT has also unveiled its target to close down 274 paper mills with total capacity of 6.35 million tons by the end of 2013, implying a total supply cut of approximately 7% to 8% in the market. As a leading player in the fragmented North China packaging and paper segment Orient Paper is committed to both efficiency and environmental conservation. We believe that we are well positioned to take advantage of the mandatory closures to increase market share and further establish our leadership in the industry’s consolidation. For Q4 2013 we’re adjusting our guidance upwards on most of the financial KPIs or metrics, including net income and earnings per share for the full year 2013. Revenues for the full year are expected to be in the range of between $120 million and $132 million; gross profit between $21 million and $23 million; net income between $11 million and $13 million; while basic and diluted earnings per share to be between $0.64 and $0.71 per share. Now Mr. Liu will give us his concluding remarks for our presentation. He will speak through his interpreter. Please turn to Slide 20.
Zhenyong Liu: Thank you, Winston. As we approach the end of 2013 I’m very excited for Orient Paper. First of all, we are very pleased to see the dismissal of the Tribank litigation case by the Federal District Court. This provides us with a long-awaited closure to the matter and allows the management team to give our undivided attention to the execution of our business plan. We reiterate our strategic imperatives that we shared with you all earlier in March and we will continue to ramp up production, particularly the utilization of PM6. On the other hand we will continue the prudent execution of our expansion plans which includes our tissue paper production facility in Wei County and a rebuilding of PM1. Finally we will strive to maintain our cost discipline and competitive cost base and continuing to generate cash flows to support our investments. This ends our prepared remarks. We would now like to open the call to your questions. Operator, please? 
Operator: This concludes the management’s prepared remarks. We will now open the floor for questions. (Operator instructions.) Your first question comes from the line of Ken (Inaudible). Please ask your question.
Ken – Independent Investor: Yeah, good morning. I’m new to the company. I’ve been accumulating some of the stock here and I’m pleased with how you guys are doing. I just wanted to know how you feel about your finances. I know that you’re spending a lot of money on new equipment, and if you can just give us an idea on when your major new expansion is going to be completed and at what point you’ll see revenues attached to the new capital expenditure.
Winston Yen: Sure, thank you very much, sir, for the question. Indeed we are working on so many projects right now at the same time that actually require substantial financial support to build these facilities and equipment. The first production line that will be completed from now is probably our PM8, the tissue paper production line. We are targeting the start of the test run of our PM8, the first 15,000-ton tissue paper production line, to be in the second half of 2014. So after that I hope we’ll be able to see shortly this completion of the renovated PM1 that will produce insulation paper as we have introduced earlier. That’s also going to be in the second half of 2014. And of course through the cash that we generated internally through our operating activities and possibly additional borrowings from banks and other financial institutions – by debt financing – we will be able to complete all of these types of expenditures throughout 2014 including the construction costs of the second tissue paper production line, the PM9 production line.
Ken – Independent Investor: Do you have any idea what kind of margins you’re going to have on this new volume?
Winston Yen: The first tissue paper line is going to bring in close to $20 million of sales revenue when it’s stabilized, and we currently project the tissue paper gross margin to be around 25% to 30% when stabilized. The insulation paper that will be produced by the new PM11 will also bring us about $16 million to $18 million in gross revenue. Even though we believe that the gross margin of the insulation paper will be substantially higher than the CMP that we’re producing and could be over 30%, for our financial projection purposes we’re now targeting a margin of 25% to 30% for the insulation paper products.
Ken – Independent Investor: Good, thanks. I appreciate it.
Winston Yen: Thank you.
Operator: (Operator instructions.) Your next question comes from the line of [Joe Firth of 1st Associates]. Please ask your question. 
[Joe Firth – 1st Associates]: Good morning, gentlemen, or good evening. I just want to ask if you have any plans to get your company a little bit better known in the United States by presenting at some investor conferences or anything along that line?
Winston Yen: Sure, thank you very much, Joe. We are doing a broad investor outreach. As we speak our IR advisor is sending out introduction materials for Orient Paper to institutional investors throughout the United States. We expect that we’ll be able to talk to some of these investors. So far we’ve gotten some positive feedback and we will probably be doing a non-deal roadshow after the Q4 earnings are announced. So yes, there are plans for us to talk to more potential investors in the US and make our story heard to as many people as possible. And in addition to that we’re also looking forward to contacting more venture investors in Asia – that’s also part of our strategy. 
[Joe Firth – 1st Associates]: Great, thank you very much.
Winston Yen: Thank you.
Operator: (Operator instructions.) At this time there are no further questions in queue, so I’d like to hand the call back to Mr. Winston Yen, CFO, for closing remarks.
Winston Yen: Alright, thank you Operator. And thank you very much, everyone, for joining this conference call. We invite investors to contact us if you have further questions. Please feel free to contact our IR team at IR@orientpaperinc.com. And we wish everyone a good day, thank you.